Operator: Good morning, and thank you all for attending the D2L Inc. Second Quarter Fiscal 2026 Financial Results. My name is Bricka, and I will be your moderator for today. [Operator Instructions] This morning's call is being recorded on September 11, 2025 at 8:30 a.m. Eastern Time. And I would now like to pass the conference over to your host, Craig Armitage, Investor Relations. Thank you. You may proceed, Craig.
Craig Armitage: Thank you, and good morning, everyone. Listeners are reminded that portions of today's discussion will include statements that contain forward-looking information. Any such statements are subject to risks and uncertainties that could cause actual results to differ materially from the conclusion, forecast or projection in the forward-looking information. Further, certain material factors or assumptions were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information. For identification and discussion of such risks, uncertainties, factors and assumptions as well as further information concerning forward-looking statements, please refer to the company's annual and interim management discussion and analysis and the most recently filed annual information form in each case as filed under the company's profile on SEDAR+ at www.sedarplus.com. In addition, during this call, reference will be made to various non-IFRS financial measures, including constant currency revenue, adjusted EBITDA, adjusted EBITDA margin, adjusted gross margin and free cash flow. These non-IFRS financial measures do not have any standardized meanings prescribed by IFRS and may not be comparable to similar measures presented by other public companies. Please refer to the company's MD&A for the 3 and 6 months ended July 31, 2025 and 2024 for more information about these and certain other non-IFRS financial measures, including, where applicable, a reconciliation of historical non-IFRS financial measures to the most directly comparable IFRS financial measures from our financial statements. I'd now like to turn the call over to Mr. John Baker, Chief Executive Officer, D2L. Please go ahead, John.
John Baker: Thank you, Craig, and thank you, everyone, for joining us for our Q2 earnings call. We released financial results after the market closed yesterday, which you can find on the Investor Relations section of our website at d2l.com. Please note that the results we're discussing today are in U.S. dollars. I'm also pleased to be joined this morning by Josh Huff, our CFO. Our second quarter performance reflected strong SaaS revenue growth and improved year-over-year profitability, demonstrating continued execution on our balance of growth and profitability. This quarter we also made a number of enhancements to our core products as we continue to execute on our innovation agenda, with a particular focus on AI to help us win in more markets globally. The Q2 highlights included total revenue growth of 11% to $54.8 million. Subscription and support revenue rose 14% to $50.1 million, driving increased full year guidance. Adjusted gross margins were up 220 basis points to 71%. Annual recurring revenue grew 7% over last year's Q2 to $212.6 million. And adjusted EBITDA increased to $7.5 million, with adjusted EBITDA margin at 13.7%, up 510 basis points from last year's Q2. During Q2, we had solid performance across our go-to-market team, building sales and pipeline momentum despite continued challenges in the current market environment. We're welcoming new customers across our key markets. Two examples in North America higher education, for the University of the People, an online university serving more than 150,000 students in over 200 countries and territories around the world; and Red Deer Polytechnic, a leading institution in Alberta, selected Brightspace to support its evolving digital learning strategy for 7,500 students. Internationally, we continue to grow our footprint across key regions. JIS Group and SASTRA University, both in India, selected Brightspace to advance their digital transformation. SASTRA University enrolled approximately 10,000 students and JIS Group serves over 45,000 students, making it one of the India's largest private educational groups. And we're pleased to welcome Northwest University, one of South Africa's largest universities with more than 60,000 students across 3 campuses and a growing online learning community. NWU adds to our growing presence in the region. We continue to expand our reach in corporate learning, adding influential organizations to our customer base. In Q2, these included the Project Management Institute, a global leader in professional certifications and training with nearly 750,000 members across more than 200 countries. And CPA Australia is now leveraging Brightspace to support its members' lifelong learning, building on our success with CPA organizations globally. While we add these new flagship customers, we continue to provide additional value to our current customers and grow our impact with them over time. For example, a longstanding North American research university with approximately 50,000 students renewed early and added Course Merchant and Creator+ with H5P as part of the long-term contract extension. We're also seeing healthy pipeline generation for new products, including our AI offering, D2L Lumi. And whilst it's early days, Lumi bookings continued to increase at a healthy pace each quarter since launch. And at the end of Q2, we also unveiled an expanded list of AI experiences in D2L Lumi. Our team has now made it easier and faster to deliver personalized learning, guide learners with timely study support, offer virtual tutors, provide assessment feedback support and provide insights into learner progress and where to act, allowing educators to focus on what truly matters, helping learners succeed. The future of AI and learning continues to be a top focus of my conversations with customers and prospects, and it was a prime topic at our user conference, which was held in Savannah, Georgia this July. Fusion 2025 brought together over 1,200 people in person and many more online. Our customer engagements at Fusion and throughout the world reinforced our belief that AI will act as a catalyst for new investment cycles, with growing customer adoption, expanding use cases that demonstrate improved learning experiences and outcomes and a clear road map for growth, D2L is well positioned to lead this AI transformation. We're proud to also be recognized for our continued impact in education. In Q2, D2L was named One of Canada's Best Managed Companies for the 13th consecutive year. We were also honored to receive the prestigious title of Overall Learning Management System Solution Provider of the Year in the 2025 EdTech Breakthrough Awards, underscoring our leadership in delivering transformative learning experiences. And most recently, D2L and our client jointly won 8 Brandon Hall HCM Excellence Awards for delivering exceptional workforce learning. As you know, the late summer marks a return to school for many customers around the world, and I'm pleased to announce the strong start to this new school year. We now have over 21 million users on our Brightspace learning platform globally. In summary, it was a strong first half of the year for our company, and I want to thank all D2Lers for their exceptional work delivering on these important milestones. As I reflect on the quarter, it's clear that we're building momentum and that our customers see us as a very strategic partner to help them navigate the future of learning. With that, I'll turn the call over to Josh.
Josh Huff: Thanks, John, and good morning. The Q2 results continue to show an intentional balance of growth and profitability, highlighted by further improvements in gross profit and operating leverage. Total revenue for Q2 was $54.8 million, an 11% increase over the same period last year, in constant currency revenue increased 11% to $54.4 million. Subscription and support revenue increased 14% to $50.1 million, reflecting new customer growth and strong revenue expansion from existing customers, supported by new product offerings such as H5P. Annual recurring revenue grew by 7% to $212.6 million. This was a result of a strong second quarter for new ARR bookings from our global higher ed and corporate markets, partially offset by higher-than-normal churn in the U.S. K-12 market. Professional services and other revenue decreased 10% in Q2 to $4.6 million. As we discussed in Q1, the current macro conditions are resulting in reduced near-term demand amongst U.S. higher education customers for larger professional services engagements such as our curriculum advisory services. The Q2 results showed further improvements in our gross profit metrics. Adjusted gross profit increased by 15% and adjusted gross margin was 70.6%, up from 68.4% last year. Subscription and support gross profit margin rose to 75.1%, compared to 72.9% in the prior year, reflecting ongoing optimizations in our cloud technology delivery and the positive impact of increasing revenues from high-margin software add-on products. As we look ahead to the second half of this year, I will note on our cloud delivery. There's a planned migration of 1 back-end technology that will create a slight bubble cost over our subscription gross margin profile. We anticipate a roughly 200 basis point impact, which we expect will moderate and subsequently allow for continued gross margin expansion once the transition is completed within fiscal 2027. Gross profit margin for professional services was 9.1% in Q2, versus 24.9% in the comparable period of last year. This is significantly lower than our historical margin profile and reflects decreased revenue in the quarter, while capacity was held stable as we evaluated the level of short-term demand in the market. We anticipate an eventual bounce-back as clients adjust their operations within this macro environment. We continue to demonstrate operating leverage and efficient growth as we scale the business. Operating expenses for the second quarter were $35.9 million, up less than 3% year-over-year. As a percentage of revenue, total OpEx was 65.6% this quarter, versus 71% of revenue in last year's Q2, a 540 basis point improvement in operating scale. R&D expenses were 22% of revenue compared to 24% of revenue in last year's Q2, in large part due to efficiency improvements and lower head count comparatively post the SkillsWave spinout that occurred last year. Sales and marketing expenses were up 9% over the same period of the prior year. As a reminder, Q2 results include our annual user conference Fusion, which is a significant investment for the business. And as John highlighted, this was a great event with high engagement from our current customers, partners and many prospects who are in attendance. G&A expenses decreased by 8% compared to the same period of the prior year, predominantly due to a decline in stock-based compensation expense year-over-year, and therefore, on a run rate basis, remains stable year-over-year. As we work to become #1 in targeted education markets globally and establish ourselves as a next-generation learning platform, we are investing in product innovation and market expansion this year, and therefore, expect OpEx to continue to increase modestly as reflected in our guidance. The combination of revenue growth, improved gross profit margins and operating leverage drove a substantial year-over-year improvement in profitability. We reported Q2 adjusted EBITDA of $7.5 million or 13.7% margin, a 510 basis point improvement from 8.6% margin in the same period of the prior year. Excluding the cost of Fusion, our normalized margin would be in line with the past few quarters. And income for the period improved to $2.7 million, compared with a loss of $0.3 million for the same period in the prior year. Free cash flow was $14.9 million in Q2, compared to $31.2 million in the same period prior year. I would highlight 2 timing factors that impacted the year-over-year comparison. Number one, the annual variable compensation plan for the company was paid in Q1 in the last fiscal year versus Q2 in fiscal 2026. And secondly, the quantity and timing of collections within the second quarter relative to prior year, which will result in a stronger third quarter collection period. Setting aside these timing factors, we continue to expect strong full year growth in free cash flow year-over-year. Our financial position remains strong at quarter end with no debt and $102.5 million in cash, providing us the financial flexibility to invest in growth opportunities as we move forward. In terms of capital allocation, we bought back over 240,000 shares under the NCIB program in the second quarter. For the fiscal year-to-date, our allocation to the NCIB buyback is roughly 150% higher than prior year. This activity largely offset any dilution from equity grants. And as a result, the weighted average diluted shares outstanding increased by less than 1% over the past 12 months. With our Q2 results, we updated our annual guidance for SaaS revenue to a range of $198 million to $200 million, implying growth of 10% to 11% over fiscal 2025 and 10% to 11% growth on a constant currency basis. This is an increase from previously issued guidance of $194 million to $196 million and reflects the strong first half-year performance and the relative strengthening of certain foreign currencies. As we have discussed in the past, this movement in foreign exchange has an offsetting increase to our reported operating expenses and, therefore, adjusted EBITDA guidance remains unchanged. Total revenue guidance is also unchanged, which reflects the increase in subscription and support revenue, offset by a decrease in professional services revenue due to the more cautious spending environment. In closing, we're executing well and effectively navigating the near-term macro conditions, delivering on our outlook for balanced growth and profitability while at the same time, reinforcing our competitive position in our core markets. With that, we will open the call to questions. Operator?
Operator: [Operator Instructions] The first question we have comes from Gavin Fairweather with Cormark.
Gavin Fairweather: Congrats on the strong quarter. Nice to hear a good expansion momentum quarter in Q2 here. Curious as you've kind of continued to enhance your add-ons, including with AI and socialize them more with the base down at your user conference, if your excitement or views on the expansion potential on the base are evolving at all as this has progressed.
John Baker: Great to connect again, Gavin. And yes, the Fusion conference was a fantastic event, really a great opportunity for us to connect with so many of our clients from all over the world. We saw a wonderful pipeline build at that event for all of our key add-on products, everything from Lumi, to Creator+, to our new Accessibility+ offering, which was incredibly well received, that's really closing the gap for a lot of our clients and to making sure that they're delivering really, truly world-class accessibility for all of their students globally. Very excited about all 3 of those products in particular. We're also seeing good performance on Performance+, and I think that road map ahead will continue to drive adoption within our client base in new and exciting ways. I think at the heart of this, what we're seeing is quarter-over-quarter-over-quarter build in each of these products. They're relatively new. But I'm quite excited about what we see for the future as they continue to evolve and grow. With AI in particular, you're not only seeing us now deliver on organic product growth. There's a lot of innovations coming out from study support. But you're also seeing us now packaging in key partner solutions, everything from virtual tutoring to making sure that we're delivering on a lot of types of experiences for students and teachers alike. This ability for us to really harness the ecosystem, which was announced at our Fusion conference. I think, will be a very compelling driver for continued adoption of these technologies.
Gavin Fairweather: It's great to hear. And then maybe for Josh. You referenced the cloud migration there, which is going to be coming through in the back half of the year. So should we expect a 200 basis points impact evenly over the back half of the year? Will that be completely done this fiscal year? And are there any kind of offsets that we should think about as you're continuing to optimize your cloud hosting?
Josh Huff: Yes. Thanks, Gavin. I would think of it as the 200 basis points over sort of the remainder of fiscal '26. And then I think as we get into fiscal '27, we sort of have a 12-month view of it, if you will, starting in Q3 of this fiscal. And so as we get through fiscal 2027, we'll be through that. And I think importantly, it also lays the foundation for continued expansion thereafter. As we've talked about at length in the past, the optimization of our cloud hosting has been going on for many years, and there continues to be a long road map of improvements that we're working against. But in the short term, there is that sort of bubble cost that we've articulated here.
Operator: Your next question comes from Doug Taylor with Canaccord Genuity.
Doug Taylor: I'll just pick up on that last line of questioning as it relates to the cloud migration here first. I mean you've talked about the 200 basis points gross margin near-term impact. Maybe you could expand upon the economics of that initiative longer term in reference to your overall gross margin objectives over your medium-term model that you've provided?
John Baker: Yes, Doug. Well, maybe I can just add a little bit of color to that. We've got a number of big initiatives in engineering to really optimize our cloud environment. So clearly what we're doing is really enhancing one of the technologies that are in that environment, that's going to have a short-term impact. Longer term, it means gross margin for the product will continue to accelerate from where it is today and continue to go up significantly as we continue to deliver on these innovations coming out from our engineering group. There's a lot of optimization, there's a lot of opportunity for us to have savings at every layer within our app. And those savings will continue to build quarter-over-quarter-over-quarter. This investment that we're making right now should result in some significant long-term savings and improvement in gross margin. And it's been planned, it's in our outlook already. There's nothing surprising and it's something that we've known for years.
Doug Taylor: Okay. And so what I'm hearing there is that there are cost savings, and that's one of the factors here. But part of this is also product leadership and building upon that as well, is that a fair assessment?
John Baker: Yes, that's a fair assessment. So swapping out a technology for a better technology, then at the same time a technology that costs significantly less than the technology that we're swapping out, that's where the savings are going to come for that specific investment. But there are a number of other investments that we're making that will take out large percentages of costs out of the provisioning in our cloud environment. And those will continue to roll out quarter-over-quarter-over-quarter. It's just unfortunate we're seeing a bit of a bubble cost go through in the next 2 quarters.
Doug Taylor: Okay. I appreciate that extra color. Maybe moving back to the revenue line and the environment. You did flag some pressure in the K-12 market in some of your churn metrics. I just want to understand that dynamic a bit more. I think we all understand the budget pressure. But how exactly is that manifesting in relation to your ARR? Is there a temporary turning off of certain features or models? Or is it student numbers being reduced? Maybe you could help us understand that and how transitory that impact might be?
John Baker: Yes, Doug, I wouldn't read too much into that. It's isolated to an individual client or 2 in this particular case. And if you look at broadly across our K-12 client base, we're seeing a good solid growth opportunity within the clients that we're serving today. But as a reminder, K12 represents about 10% to 15% of our business today. And the broader K-12 education environment is seeing pressure from funding. But the clients that we've got by and large are really good clients. They're investing heavily into the technology. They want to see improvements just like every other client with AI, with a better creation experience with Creator+. I'm actually very bullish on that market in the long term. It's just a short-term pressure.
Doug Taylor: Okay. And then maybe one last question for you, John. It's been now a little over a year since the last meaningful M&A with H5P, and you've articulated that tuck-ins are going to be a more consistent part of the strategy here. I just want to understand, is the macroeconomic conditions that you've been seeing generally, is that impacting the M&A strategy, the market, the pipeline, asking prices and valuations and things like that?
John Baker: It did elevate our discipline, yes, there's no question. When you're looking at the broader macro conditions, the appetite for adding on additional products comes under additional scrutiny. So you want to make sure that if you are doing M&A in this particular market, that you're buying something like clients really value, they're going to continue to invest in and continue to grow with over time. So yes, it's -- simply put, it has elevated our discipline in that particular space.
Operator: We now have Erin Kyle with CIBC.
Erin Kyle: Maybe I just want to start on the demand environment there. I know you talked about it a bit, but subscription growth was solid in the quarter and then the ARR build in the quarter was a bit ahead of our expectations as well. So maybe you could just expand a little bit more on what you've been seeing there? Are you seeing customers make decisions and the typical decision-making time line period this summer? Or are they still a little bit elongated? What do sales cycles look like right now?
John Baker: That's a great question, Erin. We're still seeing the same sort of macro or environmental conditions, just generally speaking, where clients are taking longer to make a decision. They're chewing through their own issues. For example, in some regions around the world, higher education has gone through a compression in terms of the number of employees, as an example, and they've had to make those changes. Even in those markets, we're still seeing good, strong demand signals; it's just taking longer for them to materialize into deals. So how does that show up? It shows up in us building momentum within the market, as you've seen the results from Q2. You're seeing our win rate continue to tick up, so our ability to compete against our competitors in this market is getting stronger. And you're seeing our pipeline continues to grow rapidly. This is now the third quarter in a row where we've really outperformed on pipeline build. I'm quite excited about that. That bodes well for the future. We just need to start to see more of these clients ready to actually shift gears from moving the way through the early stages of our process into an implementation mode. My hope is that this fall into next year, you'll start to see a lot more indications of that as folks change gears and really start to ramp up into a better student experience. I also think, Erin, AI is going to be a big driver for this change. The investments that we've made in AI across the entire platform, frankly, have a huge impact for our clients when it comes to improving productivity for faculty, now making that student experience better, helping them drive better retention, better engagement. That has a compelling ROI for a lot of our clients. If they can save time and money building courses and, at the same time, retain more of their students in a tight environment, that has a big driver for adoption. And we need to get that message out. It's still not showing up in all the RFPs that we're reading yet today, but we're starting to see early indicators that AI is starting to work their way in, but it's still not at the level that we'd want to see that as a catalyst for a massive wave of transformation. That I think is still ahead of us.
Erin Kyle: That's helpful there on the demand environment. I actually want to switch gears a little bit, still sticking to demand, but just on the international growth. The revenue growth for international looks like it decelerated a little bit in the quarter, and it's bit below the historical 15% to 20% range you've been putting out in recent quarters. So you announced some international wins this quarter. Maybe you can just comment on how that go-to-market international is going and if we should expect to see the growth there start to return to double digits? Or just what demand looks like from an international perspective?
John Baker: Yes. Thanks, Erin. Good question. I think the financial statement note regarding geographical split, I'll say, is -- sort of tends to be a bit lagging. And so that 90-day period of time is also impacted by the onetime services and constant currency FX fluctuations. So if you -- ex onetime services, the growth profile in Q2 on a rev rec basis was above 10%. And then you'll recall in fiscal '25, kind of Q2 through Q4, there was a rebuild of some of the international sales leadership team. And so that had a short-term impact on bookings in prior year. The good news is that, that leadership group and extended team is doing a really good job, performing very well. And so we've actually seen year-to-date in ARR growth for the international side is we are operating within that 15% to 20% range. And so we'll see that flow through rev rec in upcoming quarters. So we certainly continue to be very confident in that business driver growing very well and continue to view it in that 15-plus range.
Operator: Your next question comes from John Shao with National Bank.
Meng Shao: So John, could you maybe talk about what you see out there regarding your competitors' AI initiatives at this stage and how D2L differentiates or plan to differentiate from those competitors in this AI journey?
John Baker: I think -- and it's not just me saying this, there's industry analysts also saying, that D2L's really positioned itself in the lead with AI. Our other competitors are in 2 different stages. One's early stage trying to integrate partners to support their AI strategy. And the other one is going through their own financial difficulties, which puts their AI strategy in terms of long-term in question. And so I think we've got a substantial lead when it comes to embracing AI into our core workflows. So if you wanted to make a quiz, for example, you can do that instantly with AI. If you want to create content, we can take an old PowerPoint and turn it into something much more engaging and inspiring for students in terms of the interactives and games and all sorts of practices, all automatically using AI. These are things that just simply don't exist in the market if you're not using D2L's product. And so I do think we've got a good lead. We're going to continue to double down on that, not only investing in AI in our product but also investing in AI in terms of our own internal practices. And I think with that, I think we've got an opportunity to really have AI be a compelling driver to switch learning platforms to D2L Brightspace to really give our clients a significant advantage in the market. I wouldn't want to be using a competitor software relative to the schools down the street using Brightspace because those faculty are going to have a much easier time building great engagement with their students, building interactives. They're going to look like superheroes relative to the professors that are still struggling to figure out how to get it done in our competitor's systems.
Meng Shao: Got you. That's great color. I also wanted to ask about, again, on the macro. So did you guys sense that situation has been stabilized since earlier this year because it's been a while since we see any news articles on the headlines? So can I say the macro situation is still there, but it's not getting worse, am I right?
John Baker: I think it's been a challenge for a lot of organizations. I don't think I can remember a time where education has been under this much strain in terms of budget cutbacks and other changes. What's reassuring is that they look at us as a strategic investment to improve student experience even in that strain. I do think, to your point on stabilization, most clients have figured out how to make adjustments in this new market. Those adjustments have by and large been made. And now they're looking at the fall and into next year as an opportunity for them to readjust and grow again. And so we're back to not just having conversations around efficiency with clients. We're now helping them open up new growth vectors to support their next phase as a university, as a school or as a company.
Operator: We now have Suthan Sukumar with Stifel.
Suthan Sukumar: Congrats on a nice print here. My first question, I just wanted to double-click on the macro. It's good to hear that your pipeline build continues to play out consistently here despite the headwinds that you're seeing in the market. I'm just kind of curious, what's -- what would you call out as having changed the most in your prospect conversations? I mean you mentioned AI is still not really having a meaningful presence in the RFPs that you're seeing. But how important is AI in the conversation that you are having? And how is that playing into the size and structure deals and the pricing leverage that you may have?
John Baker: Suthan, that's a fantastic question. So I think that is where the gap is. The procurement side of the institutions are still printing RFPs with old requirements. But if you get into the actual demos and the conversations with clients, it really is the only point that's coming out. Now that said, they get through that AI piece and then they're really interested in the classics. How is this going to help me with retention, engagement? How is this going to help courses be a better design? How is this going to help students through getting better feedback, we get into the classic conversations that we're very comfortable with in terms of driving these underlying metrics that really help these organizations outperform. AI becomes the tool in terms of how it's enabled much more efficiently than it was in the past. I think what becomes very compelling in the demos is how much easier it makes the learning platform to use for faculty and for students. So in the past, if you want to do something in a system, you literally had to do it yourself. And now with AI, we can actually point it at the materials that you already have and transform it into a much more engaging, inspiring offering. And then the faculty really just has to review and approve. And that is very compelling. If you're a faculty member, you're very busy. And if you can spend 1/3 of the time building an even higher-quality course offering that allows you more time to spend with one-on-one with students, it allows you more time to do research, it allows you to build better course offerings, there's so much more that can be done with that time that gets freed up. And so I think that's why our win rate continues to tick up quarter-over-quarter over quarter.
Suthan Sukumar: That's helpful color. On corporate learning, can you provide us with an update on some of the progress that you're making here with respect to some of the product initiatives that you've been working on? I mean from a go-to-market standpoint, it sounds like you're still having pretty good success securing large wins. But just kind of curious on sort of the progress that you're making on both the product and go-to-market front. And I know it's been an area of investment for you guys.
John Baker: Yes. PMI is a fantastic example of the investments that we're making into corporate learning and upskilling. They're a great organization, 750,000 people use their platform in over 200 countries around the world. Great example, building on the success that we've already built in that market. We continue to double down on our corporate strategy. It's showing up in our ARR growth, it's showing up in -- now corporate almost reaching 25% of our business. We're quite bullish on this market. It's not just product investments that we're making. So we've made investments in terms of making it easier to integrate these technologies into the traditional enterprises within large companies. Those are really having a positive impact in the conversations that we're having with large enterprises. But it's also about the people. And so we've made investments into leadership to not only go after training organizations, but also to go after employee organizations that are trying to upskill their own people, not just members, if you will. And I think that is going to be where we're going to gain the most in the future. It's not just that -- it's balancing that product investment with a really strong go-to-market investment.
Suthan Sukumar: Perfect. And just last one for me. Just on the H5P business, on some of the synergies that you're seeing here. From an upsell standpoint, this appears to be -- it seems to gain traction. It just feels that it's a very natural value prop that you bring into your basin. But from a -- I guess, from a cross-sell and sort of the longer-term growth opportunity, any update on sort of what the opportunity looks like in terms of tapping into their user base, their global user base and potentially displacing some of the other LMS' that customer base is using?
John Baker: Yes. Suthan, we're still early days. What we've done over the course of the last year is really tightly integrated H5P into Brightspace. You saw that show up at our user conference where not only do we have these interactive now playing in the content area, we now have added over 50 new question types to our quizzing engine because we've now hooked in all these question types within our quizzing framework. And so that gives our clients a significant advantage in terms of being able to assess students in new ways that were simply not possible before. And I think that framework is going to be compelling for other LMS' to adopt, and for H5P to really, over time, become a global standard for building interactive learning. So we are very committed to that plan. We're very committed to making sure that this works well with others, not just within Brightspace. But the other nice thing is the cross-sell motion is starting to take hold. Now it's still early. It's at the pipeline stage. It's not in the, hey, this is converted into a lot of new business for Brightspace yet. But as an example, we did a big event in Australia for H5P. It was an H5P event. And it's generated opportunities for us on the Brightspace side. We want to see more of that as we scale our activity with H5P globally over the course of next year.
Operator: We now have Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: Regarding the PS business, should we expect margins to remain at a similar level near term? Or are there some early indications that PS demand might start to ramp up -- ramp back up heading into the fall?
John Baker: Well, I'll speak to the demand side of it, and then I think, Josh, you probably take the margins piece. On the demand side, as clients went through these changes, so for example, in one market, we saw clients really cut back on their staffing levels. They had to make those changes over the course of the last few months. Now that they've gone through those changes, the programs for them to invest and to build new courses, build new offerings and everything from AI, as you can imagine, to green technologies, basically transformation of like the semiconductor industry in the U.S., there is a lot of different programming that needs to be built to upscale the future of not only new grads, but also the talent that's in the workforce. And so pursuing that, I actually think on the other side of that short-term macro issue is the long-term opportunity for us on the services side. So we've gone through this period where margins have come down a little. We're optimistic that in the back half of the year, that we'll start to see them tick back up again as our clients return to buying more of these services from us. We've got work to do to really go off and demonstrate that. But at the same time, we've also been making investments in our learning services group around AI over the course of the last 3 years to really bring our ability to deliver high-quality offerings up and, at the same time, bring our efficiency in line. But there's more work to be done there as we look at the next quarter or 2 to make sure that we're delivering on that promise.
Josh Huff: Yes, Thanos, not a ton to add. I think John covered it well. But I think in the back half of the year, you'll see margins start to move closer to historical. I think about it more in kind of the 20% margin profile range than the 30% margin profile range. To John's point, we continue to sort of evaluate the short-term demand levels, which we do think will bounce back and return. So in light of that, the margin profile is a little bit different than it has been in the past year. But certainly, we expect improvement.
John Baker: Yes. And maybe just to give you some data points. I am talking with a number of different university presidents or college presidents around making significant investments in terms of doing things very differently. So just like we've retooled around AI, as they build courses, they're interested in doing similar work. And so our learning services group, for example, has built out an offering to help clients leverage AI in new ways in terms of building out their own offerings. I think that's going to be a great demand for a lot of clients around the world. We've already had a few conversations. We just now need to turn that from pipeline into actual real deals.
Thanos Moschopoulos: Great. In terms of using AI internally to drive efficiency, is it early days, or is that helping drive contributors to the margin improvement that we're seeing?
John Baker: I think it's at different stages across different parts of the organization. So some parts of our organization like our partner team, for example, has done a fantastic job, leveraging AI, including agentic AI to really drive efficiency per employee way up, while at the same time improving the quality of our partnerships with all of our partners around the world. So that's a great example. Our support team is leveraging AI to really be more responsive to clients. Our learning services team has been an early adopter of AI for many years in terms of making it easier to embrace many AI technologies to support the course development cycle. So it's not just product investments that we've been making, it is starting to have an impact in terms of driving efficiency within the company. But again, I still think we're early innings. There's a lot of opportunity for us to leverage the technologies in new ways to help us primarily grow much faster than we are today. And that's the focus that we've got. And through that growth, we'll come to some efficiencies as well.
Operator: We have Brian Peterson with Raymond James.
Brian Peterson: It was great to see you guys out in Savannah. So just one for me, and I don't know if it's John or Josh, who wants to take this. But as the business diversifies into corporate, and we hear things like early renewals, I don't know how common that will be, I'd love to understand how we should be thinking about the seasonality of incremental ARR. I know historically, that's been in the summer months, maybe international is a little different on that. But as we think about how to sequence the quarterly additions to ARR, any help on seasonality would be helpful.
John Baker: Yes. I think on seasonality, maybe, Josh, we can probably split this. But usually, Q1 is typically the light quarter. But Q2, Q3, Q4 tend to be all good quarters for ARR adds. And if I look at our add-ons, which is like what you're getting at to, we're seeing quarter-over-quarter-over-quarter build with our add-on products. There's not really a seasonality there. I think it's more of a ramp-up as people start to embrace these new technologies.
Josh Huff: Yes. The only thing I'd add, Brian, is I think to your point, corporate tends to have a little bit more of a Q4 emphasis, whereas I think on the education side, historically, Q2, Q3 can be bigger quarters. So over time, I think you'll see a continued balance as different parts of the business contribute more substantively in different quarters. But I think, by and large, it's -- Q1 is seasonally lower, and the rest of the quarters, you should have a similar profile.
Operator: We have our final question from Paul Treiber with RBC Capital.
Unknown Analyst: It's [ Sylvia ] on for Paul. Just 2 quick questions from us. I was wondering if you can provide anything on U.S. demand given the comment on healthy new bookings but weaker professional services?
John Baker: I think I'm going to have to ask you to repeat the question. We didn't quite hear you.
Josh Huff: A little louder.
John Baker: Is it possible to speak a little louder?
Unknown Analyst: Yes, for sure. Can you provide anything on U.S. demand given the comment on healthy new bookings but weaker professional services?
John Baker: So U.S. demand, in general, is starting to slowly bounce back. We saw a pretty significant decline about a year ago. But it's, quarter-over-quarter, it continues to bounce back and certainly, in pipeline, we've seen it really bounce back. But now we've got to turn that pipeline into real opportunity. In terms of the professional services side, for the last 3 quarters, we've seen good bookings. We've got -- we're getting much more efficient in terms of executing against the backlog that's in our services group. The key now is can we translate some of these big projects that we're talking to our clients about into booked revenue, whether that's adopting new practices within -- in course development around AI, whether it's helping them with new innovations that are going to be very compelling in terms of creating a new experience for students. There's a lot of work that we're doing with a number of our thought leadership clients, more, I would say, today than we probably did 2, 3 years ago, that just needs to be turned now into good execution. I think what the pipeline tells me is that our clients are looking at us as a very strategic partner to help them evolve into the future of teaching and learning and to really transform their own practices. And so I'm very bullish on the future as you pierce through the fog in the current macro environment.
Unknown Analyst: And then as a follow-up from one of the earlier questions asked, can you comment on any international market share gains?
John Baker: Yes. The international market is a very good market for us. We saw a bit of a blip in new bookings probably a few quarters ago, which is showing up in rev rec right now. But the underlying business is going really well, which is showing up in our ARR bookings, which we don't do the split in terms of what we're announcing publicly, but we did talk to it on this call. And so you're seeing that show up with North-West University down in South America -- I'm sorry, South Africa. You're seeing it in India, you're seeing it in the Netherlands. You're seeing it all over the world really. I think in markets like the Netherlands or Singapore or Colombia or India, we're really starting to emerge as the #1 player in those markets. And we're continuing to double down on our strategy there to open up not only the rest of that market, but also start to move into whether it's corporate or K-12. So international for us is a very big part of our growth story for the future and it's holding up really well.
Operator: Thank you. I can confirm that does conclude the question-and-answer session. I'd like to hand it back to President and CEO and Board Chair, John Baker, for final closing comments.
John Baker: Thank you, operator, and thank you, everyone, for joining us on today's call. We're looking forward to seeing many of you at our upcoming conferences and roadshows. Have a great day, everybody.
Operator: Thank you all for dialing in. I can confirm that does conclude today's conference call with D2L. Thank you all for your participation, and enjoy the rest of your day.